Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Fourth Quarter and Full Year 2021 Financial Results Conference Call. I must advise you, this conference is being recorded today, Tuesday, the 15th of February 2022. We'd now like to hand the call over to your first speaker today, Yulia Gerasimova, Investor Relations Director. Please go ahead.
Yulia Gerasimova: Hello, everyone, and welcome to Yandex' fourth quarter 2021 earnings call. You can find our earnings release, letter to shareholders and supplementary slides on our IR website. The key speakers on our call today are Tigran Khudaverdyan, our Deputy Chief Executive Officer; and Svetlana Demyashkevich, our Chief Financial Officer; Vadim Marchuk, our Chief Operating Officer; Yevgeny Senderov, Chief Financial Officer of YandexTaxi; and Alexander Balakhnin, Chief Financial Officer and Head of Strategy of Yandex.Market will be available on the Q&A session. Now I will quickly walk you through the Safe Harbor statement. Various remarks that we make during the call regarding our financial performance and operations may be considered forward-looking, and such statements involve a number of risks and uncertainties that could cause actual results to differ materially. For more information, please refer to the Risk Factors section of our most recent annual report on Form 20-F filed with the SEC. During the call, we'll be referring to certain non-GAAP financial measures. You can find a reconciliation of non-GAAP to GAAP measures in the earnings release we published today. And now, I'm turning the call over to Tigran.
Tigran Khudaverdyan: Thank you, Yulia, and hello, everyone. We are pleased with our performance in 2021 and consider it to have been a successful year for the company. We achieved solid progress in many of our verticals, including both our core segments, advertising and ride-hailing and also our new businesses, particularly e-commerce delivery and media services. There is a lot of detail in our letter to shareholders published on our website. Let me just highlight several key headline numbers. Total e-commerce GMV for the year grew almost 3x to RUB160 billion, we saw similar 3x growth in our fulfillment diesel structure and number of active merchants as well as over 10x increase in assortment. We finished the year with 12 million Yandex.Plus subscribers. We carried out 2.4 billion taxi rides in 2021 which is even more than some of our global public peers have reported. The revenue of Yandex.Delivery, our logistics business, grew 4x to our 3x, devices, 2.6x and the list goes on. In terms of key priorities for 2022, our top priority remains e-commerce, followed by Yandex.Plus and FinTech. On e-commerce, I would highlight that we are focusing more on improving the efficiency of our operations and delivery channels and increasing the utilization and automation of our existing for premium capacity. We will ensure that further improved unit economics will continuing to expand rapidly in order to outgrow the competition in the market. Overall, the majority of our businesses will keep doing what we are doing as we see that our strategy is working well. Separately, I wanted to share a few thoughts on our international potential. We have always considered the possibility of taking our technologies abroad and we see substantial opportunity here. For the last 20 years, we have invested significantly in R&D in Russia to create a world-class tax stack and win our domestic market from local and foreign competitors. We believe we have outstanding proprietary technology and a number of proven business models where we are experts. As such, we should be able to successfully leverage them as we continue to diversify and pursue selective opportunities internationally. As we consider international expansion opportunities, we will always be guided by these core principles, the foreign selection of new markets and analysis of our competitive advantages vis-à-vis them to ensure we have a right to win in new geographies, progress gradually, attract local talent and consider local partnerships and remain disciplined in terms of capital, in terms of how we are doing with some of our existing international projects.  In retailing, we have a presence in 20 countries now, including the 11 in EMEA, where we are developing according to our proven playbook. Our retailing business is getting good traction in EMEA countries with significant GMV growth of 146% in Q4. Our progress with Rovers in the U.S., Dubai and Korea and Routing in Turkey and Dubai as well as the success of ClickHouse prove that our technologies and products are attractive outside our domestic market. Lastly, a few words on sustainability. 2021 saw a number of important milestones in this area, such as publication of our first sustainability report which allowed us to materially improve this closure appointment of a Chief Sustainability Officer and visible progress on certain social and environmental initiatives. These efforts did not go unnoticed. Our ESG ratings have materially improved, and Yandex has joined the Dow Jones Sustainability World Index for the first time.  In conclusion, I wanted to say that our focus has always been on prioritizing sustainable development over short-term gains. And this is now more important than ever. We concentrate on things that are under our control which is executing on our key strategic initiatives to create long-term value for our shareholders. With this, let me turn the mic over to Svetlana.
Svetlana Demyashkevich: Thank you, Tigran, and hello, everyone. You've seen our press release and all other supplementary materials provided on our IR website. Let me focus on selected financial highlights from 2021 and outlook for 2022. We ended the year with RUB356 billion in revenue which is ahead of our full year guidance and 54% more than the previous year.  Stronger-than-expected results reflected robust revenue trends across our advertising and ride-hailing businesses, as well as solid performance in media and delivery services, devices and Lavka sales. Our main businesses performed well. The advertising revenues exceeded our internal expectations and enabled us to upgrade our guidance three times throughout 2021. Each time we outperformed market forecasts, including with today's Q4 results. This is a result of material progress in our iOS share and further enhancements in the efficiency of our advertising instruments for all types of clients, including SMB. In the mobility segment, we continue to focus on rapid growth and efficiency which is the basis for increasing drivers' income and improving our margins. Our effective take rate is still less than 10% which is one of the lowest levels globally. Thus, stronger profitability is primarily a result of improving driver utilization and route efficiency optimizing arrival times and implementing cost controls.  Overall, our key cash-generating verticals, Search and Portal and mobility together earned RUB103 billion in adjusted EBITDA, implying 50% year-over-year growth. This has served as a solid foundation for our investments in attractive new initiatives. Our e-commerce business expanded by almost threefold in terms of GMV and delivered numerous improvements in customer value proposition, quality of service and streamlining of key operational processes.  The total cash burn for our e-commerce business amounted to $600 million less than our guidance of $650 million, emphasizing our commitment to disciplined capital allocation. We improved market unit economics by approximately 15 percentage points during 2021, driven by discount optimization, 3P take rate increase, 1P pricing revision, as well as operations and cost efficiency enhancements, primarily related to logistics infrastructure. Turning to the financial outlook for 2022. We expect our total group revenues in 2022 to be between RUB490 billion and RUB500 billion. For Search and Portal, we expect our ruble-based revenue to grow in the mid- to high teens and adjusted EBITDA margin to remain stable compared with 2021. As we have communicated previously, we may consider reinvesting more margin only if the opportunities we choose will help us to achieve a high absolute adjusted EBITDA and are in line with our long-term strategic priorities. We expect the GMV of our second largest cash-generating business mobility to be in the range of RUB700 million to RUB720 billion in 2022 implying slight acceleration of two-year stack growth in 2022 compared to 2021. We also expect the further expansion of its adjusted EBITDA margin as a percentage of GMV by up to 50 basis points compared to 2021. Finally, e-commerce which remains the number one priority for the management team. In 2022, we expect our total e-commerce GMV to double, while limiting the increase in total cash burn to 20% maximum. This is underpinned by a significant improvement in unit economics. We believe our current warehouse capacity will be largely sufficient to support the growth of our business in 2022. And thus, our focus will be more on improving the efficiency of fulfillment operations including further automation of our distribution centers and increasing personnel productivity and the utilization of the existing warehouse infrastructure. Yandex's CapEx, excluding campus, as a percentage of revenue for 2022 are expected to remain at around the low teens which is similar to last year. including campus costs, CapEx is expected at around the mid-teens in percentage terms. Last but not least, a few words about our liquidity position. We finished the year with $1.4 billion in cash after paying a consideration of $1 billion for the transaction with Uber in second half of the year. With this amount of cash and two solid cash-generating businesses, advertising and mobility, we remain well-capitalized to fund our planned strategic investments. With this, let me turn the mic back to the operator for the Q&A session. Thank you.
Operator: [Operator Instructions] The first question we have today comes from Slava Degtyarev of Bank -- I'm sorry, of Goldman Sachs. Please go ahead.
Slava Degtyarev: Hi, yes. Thank you very much for the call. My first question would be on e-commerce. So how do you see composition of the e-commerce cash burn progressing this year compared to 2021? Or in other words, how will the investment priorities within the e-commerce shift this year?
Alexander Balakhnin: Slava, Alexander Balakhnin speaking. Let me try to answer this question. So first of all, I wanted to highlight before I begin that we -- this 20% increase is the maximum level of investments into e-com this year and the full allocation of that is subject to achievement of certain product improvement, unit economics improvement and growth targets. And as you may see from the absolute GV number, we plan to generate in 2022, the guidance clearly implies a material improvement in unit economics. So now let me tell you how we think about the capital allocation? Well, first of all, with regards to capacity of our warehouses, I wanted to highlight that despite we do not add the square meters of warehouses we keep invest into the achievement of maximum possible [indiscernible] warehouses and that will require some CapEx on automation and process improvement. So keep this in mind, and we have sufficient CapEx allocated on those things. Apart from that, we have two main areas of investments. Number one is delivery in terms of quality, speed and convenience. As we highlighted during our previous call, we have a fairly front-loaded nature of our logistics investments. As we add the warehouse capacity, certification centers, pickup vans, walkers, we hire couriers and so on. To put this a little bit in the perspective, this allowed us to achieve 2x to 3x improvement in the quality of operations throughout 2021. And on top of that, that allowed us to introduce such differentiated features as superfast on-demand delivery together with Lavka, Express delivery together with Yandex.Delivery and some other exciting things. So clearly, we are satisfied with the progress in this area, and it's reasonable to expect that logistics, in a broader sense, will consume a sizable portion of our investments. And well, needless to say, we'll be further expanding our last mile capabilities and we'll invest in the branded pickup in delivery and drop off points. The second big area for us is assortment, again, a broader sense. We plan to develop categories further. There are two fairly new categories for us which are fashion and kids. And in those, we need to fine-tune our product. We need to fine-tune our logistics capabilities and so on. And last but not least, within the same bucket. We will double down on our FMCG efforts where we will leverage our audience across three real estate of Lavka, Eda! Grocery and Market. Together with logistics advantage we have to drive both growth and retention at the optimal unit economics. So I would say those two are the key priorities for us. I hope that answers your question.
Slava Degtyarev: Yes. And my second one would be on Rovers. You have signed contracts, the payers, the global players on the Rovers Delivery. How would you describe competitive landscape here? And where do you see your competitive advantages? And how large are the antibodies on the Rovers side?
Vadim Marchuk: So, this is Vadim speaking. So let me take this question on the Rovers. Look, I mean, the reality is, it's very much kind of a white space. It's open field with some competitors that differ significantly with respect to the level and quality of technology. They differ with respect to how their Rovers operates. So for example, there is another company, a competitor of ours that actually uses Rovers on the streets as opposed to the sidewalks which means they're regulated somewhat differently. And so truth be told, we don't really feel the competition just because the space is so widely open. And right now, it's -- we see it as an excellent opportunity, is an excellent opportunity to further test our technology, further test the quality of Rovers themselves. And also one of the important metrics, for example, that we track, is how many Rovers can one operator track just in case if something goes wrong. And what we're seeing that we are significantly ahead of the competitors based on the information that we have. And our goal is to further increase that ratio but I would say probably by increasing it five or six fold from where we are now.
Slava Degtyarev: Okay. Thank you very much.
Operator: And our next question comes from Cesar Tiron of Bank of America Merrill Lynch. Please go ahead.
Cesar Tiron: Yes, hi. Good afternoon, everyone. Thanks for the call and the opportunity to ask questions. I have two, I'm just going to ask them in one go. So the first one is really on the Search and Portal guidance. Given that Q4 was growing closer to 30%, do you already see any evidence of a slowdown in Search and Portal in Q1 which would make it grow only mid-to-high teens or is the outlook more of a reflection of the muted macro visibility in Russia going forward? And then the second question would really be on e-commerce. I just wanted to check if you see any signs that your competitors are probably pulling back on marketing or any intensity in their competitive behavior probably due to tougher funding conditions?
Vadim Marchuk: Cesar, this is Vadim speaking. Let me take the first one. So look, with respect to the trends, we've seen January trends as comparable with Q4. But also, I think what's important to note that the base has been the lowest in Q1 last year. And therefore, the growth will be normalizing towards the year-end, it actually is implied in our 2022 guidance. And the -- so the January trends remain solid, and we're seeing this growth continuing in the first two weeks in February. All sectors are positive on a year-on-year basis. The only sector that is negative -- is in the negative territory on a two year stack basis is travel which still hasn't recovered from its -- I mean, to its pre-COVID levels.
Alexander Balakhnin: That's Sasha. On the competition overall for the customers, I would say that most of our competitors are still fairly well-funded. And speaking specifically of marketing, we don't see so far significant changes other than the seasonality, I would say the start of the year is normally quite side here. And well, we saw quite a bit of competition for the new customers and reactivation of the existing ones in the end of the year. If we speak broadly in terms of competitive environment, I would probably mention a few things. Number one, the pricing competition has been very stable over the last six months. But please keep in mind that the competition in e-commerce strategies beyond just the pricing competition as we compete not just for the customers but also for couriers, pickup implications even for the delivery trucks. And I must say here that being part of Yandex with its realm of businesses like taxi drive delivery among others helps us significantly in that competition. On a positive side with regards to the competitive environment, we see a very stable situation in terms of the take rate. Our main competitors either keep them stable or even increase them. And I would say that is a good thing. That being said, we still see a potential for the market to rationalize further because the Russian take rates have had a low in a global context for the depth of services we and other leading marketplaces provide to the market. So we would definitely welcome some further rationalization in that area.
Cesar Tiron: Thank you so much. Very clear.
Operator: We can now take our next question from Ulyana Lenvalskaya of UBS. Please go ahead.
Ulyana Lenvalskaya: Hi, everyone. Thanks for the call. Congratulations on a strong quarter. First of all, I wanted to discuss profitability in the core ride-hailing business. We have seen quite a steady progress over the past quarters and years. Longer term, how do you see the potential of the core ride-hailing business in terms of EBITDA margin in five years from now?
Yevgeny Senderov: Ulyana, it's Yevgeny Senderov. Look, as we it was given by Svetlana in the guidance, we expect next year to improve by 50 basis points. But going forward, we continue to see operational improvement. I think we expect further expansion in '22 and beyond, frankly, again, based on our continued historical focus on operational efficiency, tech improvements and benefiting from the existing sort of network effect that has really played in our favor. So we continue to expect improvements specifically and we're guiding to it next year, and we see further improvement in the outer years.
Ulyana Lenvalskaya: This is clear. And the second question is about other business units. The investments over there are visibly growing. And honestly, it just becomes a bit too big. The segment itself a bit untransparent in my personal opinion. Could you please comment on the -- maybe the key priorities within the other business units and also the EBITDA loss trajectory for the coming years, say, at least the trajectory versus 2021?
Svetlana Demyashkevich: And thank you for the question. First of all, we are very cautious and conservative in terms of our investments. And I would say that lately with the situation on the markets and with the growing number of businesses we invest to, we became even more conservative and rigorous in the way how we prioritize and how we make our investment decisions. So our number first priority, as we already mentioned, is e-commerce, followed by Yandex.Plus and Fintech. And you understand that these elements are crucial for building our ecosystem, and that's why it's crucial for us to continue investing in these directions. At the same time, during the last year with the prioritized and scaled back several projects, for example, general classifieds or regional expansion in Lavka, where we became much more cautious in terms of opening of new stores in regions. So overall, in other segments, we do have businesses like self-driving and fintech, if we're talking about 2021, our cloud business, devices, and for all of them, we do have a very good development in terms of the growth and market positions. So that's why we will continue investing in this directions also.
Ulyana Lenvalskaya: But within the other business units, cloud is the biggest one, right? Sorry -- can you give us somehow describe the biggest EBITDA burn initiative?
Svetlana Demyashkevich: Well, we do not guide on the cash burns in business units which are included in other segments. But in terms of the revenue, for example, the run rate for cloud in December reached 4.7 billion [ph] with 174% year-on-year growth. And almost all of it is generated by enterprise clients. So we're really happy with the results. Another direction which is included in other business units is fintech. And as I mentioned, yes, we are building the core of the platform for fintech, while we will continue building the products for the verticals of our ecosystem during the next year.
Ulyana Lenvalskaya: Okay. Thank you.
Operator: We can now take our next question from Vladimir Bespalov of VTB Capital. Please go ahead.
Vladimir Bespalov: Hello, congratulations on the great numbers. And thank you for taking my question. First of all, I'd like to ask you also about e-commerce. And when Yandex worked with Sberbank in price comparison, the total turnover more than RUB200 billion. As far as I understand, you almost completed the switch from the CPC model to this new drop ship by seller model. But when I look at the growth of GMV of Yandex.Market for the last year, it was roughly RUB80 billion. So maybe could you comment whether some of that turnover that was in the CPC platform was lost? Is there anything else remaining which could fuel your growth in 2022 and beyond? And in general, how do you see this? And then related to this on your growth, we see the numbers in the key marketplaces. And like Wildberries is growing very fast in absolute terms, Ozon is growing fast in absolute terms. And the guidance that you're providing, doesn't mean that you're going to bridge this gap in absolute terms, you're going to be well, well behind in 2022 and probably beyond. So what is the strategy here? What do you expect to turn into kind of a niche play in e-commerce focusing more on unit economics kind of profitability but not aspiring to leadership in this area?
Alexander Balakhnin: Vladimir, that's Sasha speaking. To your question on the price comparison to RUB100 billion GMV we had. Let me remind you that we have different legs over covers [ph] within the Yandex ecosystem. And we are the -- I mean, obvious one with the marketplace. And obviously, we benefited during 2021 with the price comparison to marketplace migration. But please keep in mind, we also have a substantial e-commerce vertical as a part of our Search business, Search and Portal business. And the Search and Portal is developed its own product vertical which we mentioned, and we demonstrate very solid results here. Some of that got received to the advertising traffic and we do not think we lose any of that RUB200 billion, to be honest.
Vadim Marchuk: Vladimir, this is Vadim. Let me take the second part of the question. So look, you're right, both Amazon and Wildberries continue to grow quite fast, given their size in absolute. The way we think about where are we going to end up? And how are we going to compete? And what exactly is going to be our place in this market? When we think about it, one of the -- what we consider and what I think others should consider is that frankly, we are -- that the market is still in very early stages. There is definitely a gap between different players in terms of size. But we do think that the market will reshuffle in terms of leadership within a certain period of time. When we think about what exactly can give us a claim to be one of the market leaders is we kind of outlined a couple of things that we do not think other players have or are likely to develop in kind of in the short or medium term. And therefore, those are our kind of unparalleled advantages or superpowers, if you will which is Yandex.Plus which is the kind of cross utilization of the logistics infrastructure that we have in different platform-based verticals, whether it's going to be FoodTech, Delivery, Mobility, et cetera. That allow us to be much more flexible, come up with new business models. So for example, Market Express which we put together and launched quite quickly. And essentially, what it does, it offers approximately 1.4 million SKUs delivered within one to two hours without the need to build a very heavy and expensive infrastructure. And currently, I think we cover 55% of Russian population with Market Express. So that's one component. Another component that I mentioned was Yandex.Plus. But you do need to keep in mind that at the end of the day, once you kind of assortment depths and breadths will be comparable other players when your delivery times and convenience which, by the way, we improved very significantly over the past 12 years -- 12 months. When those things will be compared at the end of the day, the consumer will be choosing based on the number of other benefits in addition to e-comm that they can receive. And we do believe that our subscription program Yandex.Plus is unparalleled in its width and the quality of different leading services that are part of that subscription. That's pretty much it.
Vladimir Bespalov: But can I clarify maybe if you could provide when would you expect that your growth in absolute terms in e-commerce would be comparable to the market leaders in your long-term planning?
Vadim Marchuk: Look, I mean it's an excellent question, right? As you understand, we can have every time of projections today but they become relatively irrelevant in a vacuum because the competitive situation changes. The competitive pressure changes from the entry of new players, et cetera. In our -- we do have internal views as to when we would be able to reach some of the players. But we think it's absolutely pointless to guide you guys towards that data point simply because so many things will change in the next, call it, 6, 12 or 18 months?
Vladimir Bespalov: And may I ask another question on another topic on the ride-hailing. So when I look at the guidance that you're providing for GMV the growth, I would say, would be in -- in mobility, it would be comparable maybe slightly higher than in Search and Portal and advertising, whatever. So do you think that this market is getting more mature and the growth opportunities here are shrinking? And as a result, you expect kind of high profitability of this more mature business? Or you still believe there are quite a lot of opportunities to accelerate this business going forward?
Yevgeny Senderov: Vladimir, great question. This is Yevgeny. There are a couple of ways I think of looking at this breaking the numbers. 2021 was very strong for us. So rides were up 50%, and GMV was up 74%. If we look at 2020, rides were up 18% year-over-year and 13% in terms of GMV. So that was a low base year for us. On a two year CAGR basis, rides were up 33% in '21, and GMV was up 40%. And actually, if we look at 2022, I think the right way to look at it is on a two year CAGR basis, we actually expect growth to accelerate. So if you look at our guidance, GMV growth would be somewhere between 44% to 46%. So second of all, I think we're typically prudent and cautious when we're giving our forecasts. There are a number of things that are going on in the world. And in general, we're cautious in the beginning of the year. But maybe it's not always right to compare different markets but our global peers are actually still down from the pre-pandemic levels, while we have exceeded them significantly. So if you look at Lyft in terms of revenue, they're still down low single digits to compare it on a two year CAGR and Uber is down in high single digits in the fourth quarter on a two year CAGR basis, while Yandex Mobility was up 40% on two year CAGR in the second quarter. So we actually think we're going to see strong growth -- continued strong growth on the top line and the bottom line, and you kind of have to look through these pandemic cycles and other cycles but we are very -- we're not only extracting profit but we are continuing to expect strong growth in this business.
Vladimir Bespalov: Thank you very much.
Operator: We can now take our next question from Luke Holbrook of Morgan Stanley. Please go ahead.
Luke Holbrook: Yes, good afternoon, And congratulations on the set of results. I just wanted to ask how you're thinking about the category mix in e-commerce over the next three years. You've got 42% of your GMV now from electronics, apparel is 1% and you've mentioned that you want to build out this apparel and kids segment over the next year in particular. So any details on how you're envisaging your platform looking would be very helpful.
Alexander Balakhnin: Luke, that's Sasha speaking. Yes, you're right. We -- well, given our background, we are obviously -- we're very skewed towards electronics, given our price comparison and the way we think about this is, well, now if you think about not just Yandex.Market but broadly e-commerce, you have two very strong legs, one is electronics and others is GMV and they are largely comparable between them. And the categories we develop now fashion and kids. And with those, well, I think they will be big parts of our effort in 2022 and beyond, specifically speaking of fashion, we just launched it three months ago and already now have hundreds of brands on the platform, including the premium luxury ones. And our ambition is to increase the assortment at least fivefold during the 2022 for the development of that vertical, we redesigned the logistics from within, it's a special process in the warehouses, the delivery was redesigned, just to give you an idea, the partial return was only available only in Moscow and St. Petersburg. It's now available in 60 other regions and our couriers and pickup ones now offer the Train service. That's on the offline side. I mean, clearly, the development of a category also requires quite significant changes on the online side of the business. And we basically redesigned the product specifically for the category to ensure the distinct category experience. The other one is kids which is low single digit. And we plan to low single -- sorry, mid-single digit of GMV, and we plan to increase the contribution during 2022 of that. So I would say the distribution will be FMCG, electronics, DIY, fashion, kids.
Luke Holbrook: Great. And just...
Alexander Balakhnin: And Luke, just for the wins of doubt, I mean, obviously, our huge ambition is to maintain the leadership in both FMCG and consumer electronics categories which we believe will not hold.
Luke Holbrook: Understood. And just on -- just to clarify the -- on the investment spend. You came in $50 million a bit under budget in '21. Is this just a phasing where you're just pushing out that investment into 2022, simply because of the underutilization that you were seeing in the fourth quarter was that more drop-ship being adopted than you expected is that the right way to think about this?
Alexander Balakhnin: That's pretty right way to think about this. I would say we have a very rigorous investment allocation approach within the company and the metrics I was mentioning earlier in the call, strictly more toward -- and basically, we were thinking about whether we should or should not press here and there and just decided that we had to save 50 million in the market circumstances.
Luke Holbrook: Great. Thank you very much.
Svetlana Demyashkevich: The next question, please.
Operator: Apologies. We can now take our next question from Dmitry Vlasov of Wood & Company. Please go ahead.
Dmitry Vlasov: Hi, yes. Thank you for the opportunity to ask questions. So I have two, both on the e-commerce business. So the first one, we can see that you slowly improved your unit economics, will continue to deliver solid GMV growth and you guide that you will focus on the utilization next year. It just seems to me that you are more focused on the unit economics rather than the growth given the fact that the gap between you and the leading players does not really shorten the other participant mentioned before. I'm just curious, maybe if you could provide some more color on when maybe do you expect to breakeven with the e-commerce business? How do you see progress towards that? That's the first question. The second one on your Express Delivery. Yes, you've made some progress on the Express Delivery but you're still definitely behind Ozon, and you still have a lot of next-day delivery. I was just wondering how your CAGR is going to look like next year? Are you planning to significantly improve the same-day delivery and maybe the Express Delivery to better compete with Ozon?
Alexander Balakhnin: Dmitry, let me try to answer your question on the sort of the pecking order of our decision-making. Well, first, overall, we do believe that there should be always a right balance between the growth and the economics because that is the cornerstone of building a sustainable business, and we are in the business of building sustainable businesses, I would say. That's first. And there are certain level of unit economics which we believe is a must have sort of in a -- or sequel situation. And we try to achieve that. I mean obviously, we are not in a vacuum in the market and once we see, I don't know, the aggressive pricing by any of the participants or some other events we participate as a market player. But for us, it's of a paramount importance to keep right balance between growth and unit economic dynamics, that's one. That being said, we do think -- well, we not just think, I mean we are growing faster than any of the market participants and we gain market share, while building certain differentiated capabilities for our marketplace. And many of those are just unparalleled. I mentioned on-demand delivery. I mentioned Express and those two already account for 20% of our business in Moscow. And given how attractive those are? And given the retention of those businesses or those customers, it's reasonable to expect this year to go further up. And there will be more of that. We have a luxury of being a part of Yandex and by adding together different capabilities of different businesses within the food tech, ride-hailing, delivery groups, we basically create new products which are very interesting and I think those will be a big differentiator for us.
Vadim Marchuk: This is Vadim. Let me just quickly add to something that's -- to what Sasha mentioned. I think in your question, just if I heard you correctly, I just want to kind of clear up the misconception here. Based on the numbers that we have, we believe that our Market Express is larger in Moscow than Ozon Express. And we are slightly smaller than them, if you look countrywide. So -- and then just keep in mind that was something that we built in the past six or seven months. The trend is extremely encouraging, how quickly this is rolling out and how quickly our customers are actually adopting this. So we do things at least in that terms of delivery, especially once you add Lavka, a part of FoodTech which we also consider for comparison purposes as a part of the e-comm platform. Once you combine all those forces, we do think that the quick and short delivery, especially with wide selection of SKU which is 1.4 million SKUs today. This is something that we are extremely well-positioned to overtake our competitors in the market.
Dmitry Vlasov: Thank you very much. Just a quick follow-up on the unit economics if possible. Given the fact that we have the lowest take rates in the market in comparison to Ozon, Wildberries and Express and you also have 42% of electronics as a percentage of GMV and taking into account that electronics has the lowest take rate. I'm just wondering if at least at the current mix, is it even possible to kind of achieve the unit economics -- or positive unit economics or you maybe would have to significantly diversify your GMV and take rates?
Alexander Balakhnin: Dmitry, that's Sasha again. So first of all, I would say, on a like-for-like basis, our take rates are fairly comparable to the other marketplaces. So we are not a discounter by any means. And with that, the take rates -- between take rates and unit economics there are a few elements what brings take rates to the unit economics.  So from that standpoint, I would say we are fairly comparable to the other participants. For us, the strategy of economic improvement comes from, one, just overall operations improvement and adjusted for some of -- some underutilization during the fourth quarter, our unit economics across the country would be in low single-digits percent. So that's clearly where many of our competitors are. And the other layer, obviously, is the diversification into other categories and driving retention. And the business doesn't stop with unit economics, it's also the marketing optimization, and that's also a big focus. So rest assured, we did a good progress during 2021, the trough-to-peak unit economics swing was 15 percentage points, and we're very proud with that dynamic. And also, we are working hard on the delivery channel mix. We almost got rid of the third-party deliveries. Now it's basically the utilization play. So it all goes into one direction. I hope that answers your question.
Dmitry Vlasov: Yes. Thank you [ph].
Operator: [Operator Instructions] We can now take our next question from Catherine O'Neill of Citi. Please go ahead.
Catherine O'Neill: Hi, I just wanted to go back to the investment levels, particularly when I look at media services and other business units and initiatives and the EBITDA losses in 2021 for both of those increased quite significantly year-on-year. So I just wondered if you could give us any sense of how we should think about 2022. Should we expect them to be much higher than 2021, continuing at a similar pace given the fintech and content investment? And then on Yandex.Market, I know you mentioned focusing on FMCG, fashion kids, should we expect to see the take rate improve given the expansion of those categories which tend to be higher take rate than electronics, for example. So should revenue growth come in ahead of the GMV?
Svetlana Demyashkevich: Hello, Catherine. I will start with the other business units. So overall, for all our businesses, we do expect them to become positive in midterm in the horizon of -- from three to five years. So -- and that means that even for businesses which are enabling to other business units like for example, media which you asked about. We still do expect profitability from them. For me, it's a horizon of -- from three to four years and it's achievable subject to an increasing number of paying subscribers, where we do see a very good dynamic. As we already mentioned, we already have 12 million subscribers out of them, around 80% are paying subscribers. And actually, this proportion improved significantly during the last year. And the same trend as you see we do have on the total number. So we need the scale and we need to get this scale quite fast. So we are committed to invest in this direction and believe that media is one of the core advantages. Well, our Plus program and our Media segment are one of the key advantages for our ecosystem. So talking about other business units like Cloud, for example, as I mentioned already, we do see a very good progress in growth -- and in fourth quarter, the run rate even improved. At the same time, we do, of course, have the five year model, and we do see the profitability of this unit also in the horizon of -- from three to five years. So talking about other segments. On SDG, we already commented today that we believe that SDG unit has very good international perspective, and we already have very good contracts in the U.S. in terms of rovers. So the monetization will firstly come from our Rovers division. And then at some longer-term horizon from our self-driving cars. And other segments which we do have in other business segments is FoodTech. We just started building it last year. But still, we do expect them to become profitable from three to five years just for the other businesses.
Alexander Balakhnin: Catherine, that's Sasha. To your question, yes, you're absolutely right. As we are adding those new categories and grow their share, it's reasonable to expect the effective take rate to go up as it is reasonable to expect it to go up when we move the merchants from drop shipping operation model to the warehouse model which we will also develop. I mean this is the transition. So yes, there are many layers how the effective take rate you observed will be improving.
Catherine O'Neill: Okay. Can I just come back to the comment on EBITDA losses in Media Services and other business units and initiatives. Should we -- I just wanted to understand, should we expect those losses to be higher in 2022 and 2021? And is there anything you can talk about on fintech in terms of how much investment we should expect?
Svetlana Demyashkevich: So overall, we do not give guidance on the EBITDA of this specific segments. But you can be sure that we're always considering our liquidity position and our overall EBITDA levels when making decisions in terms of prioritization of our investments. And of course, we do discuss all of these factors when we make decisions on now our next year budget. So we can be sure that the budget for this year is well-balanced, and we ensure that we do have sufficient liquidity coming from our core businesses, Search and Portal and Mobility.
Vadim Marchuk: Now Catherine, with respect to fintech. Again, we don't give specific guidance for investments other than e-comm. But overall, I would say that in 2022, the amount of investment into fintech will definitely not going to be as high as e-commerce or even a self-driving group. It's going to be less. What we're going to focus on in '22 it's essentially kind of 3-pronged effort. We're going to continue developing of IT platform for the bank and further expanding the bank -- the team itself. And then we're going to start rolling out the products first transactional, and we do plan to launch -- well, I wouldn't say the first but essentially second credit product because the first one was our by now later service which we launched in September of last year. But overall, we think that the investments that we're going to be putting into fintech itself, are going to help us to quickly gain the customer base among our loyal customers. And overall, we are planning to focus on several synergetic retail products with our other Yandex services.
Catherine O'Neill: Again, thank you.
Operator: We have no further questions. I would now like to hand the call back to Yulia Gerasimova for closing remarks. Please go ahead.
Yulia Gerasimova: Thank you very much for all your questions. If you have any follow-ups, as usual, myself and Katy and our team, we are available to help you with those. Thank you very much, and have a good day.
Operator: Thank you very much. That does conclude the conference call for today. Thank you for participating. You may all disconnect.